Operator: Ladies and gentlemen, good afternoon. Welcome, everyone, to BlackRock TCP Capital Corp.’s Fourth Quarter and Full Year 2019 Earnings Conference Call. Today’s call is being recorded for replay purposes. During the presentation, all participants will be in a listen-only mode. A question-and-answer session will follow the company’s formal remarks. [Operator Instructions]And now I would like to turn the call over to Katie McGlynn, Director of BlackRock TCP Capital Corp. Global Investor Relations team. Katie, please proceed.
Kathleen McGlynn: Thank you. Before we begin, I’ll note that this conference call may contain forward-looking statements based on the estimates and assumptions of management at the time of such statements, and are not guarantees of future performance. Forward-looking statements involve risks and uncertainties, and actual results could differ materially from those projected. Any forward-looking statements made on this call are made as of today and are subject to change without notice.This morning, we issued our earnings release for the fourth quarter and full year ended December 31, 2019. We also posted a supplemental earnings presentation to our website at tcpcapital.com. To view the slide presentation, which we will refer to on today’s call, please click on the Investor Relations link and select Events & Presentations. These documents should be reviewed in conjunction with the company’s Form 10-K, which was filed with the SEC this morning.I will now turn the call over to our Chairman and CEO, Howard Levkowitz.
Howard Levkowitz: Thanks, Katie. I’m here with our TCPC team. And we thank everyone for participating on our call today. I will start with an overview of our performance in 2019; and then our CFO, Paul Davis, will review our financial results. After Paul’s comments, I will provide some closing remarks before opening the call to your questions.Beginning with our key accomplishments in 2019, which are summarized on Slide 4 of our presentation. First, we leveraged both our long-standing relationships with borrowers and deal sources, and the power of BlackRock platform to identify attractive investment opportunities. For all of 2019, we invested $700 million in 45 investments, almost 45% of which came from existing portfolio companies.We also continue to emphasize portfolio diversification. Our average portfolio company investment was just $15.7 million or less than 1% of total investments as of December 31, 2019. Second, we generated $94.9 million of net interest income, a slight increase from 2018, despite the pressure on yields in 2019 from a decline in LIBOR. We also continued our track record of covering our regular dividend every quarter for nearly 8 years. Third, we continue to seek debt financing on attractive and shareholder-friendly terms.Toward this effort, we successfully issued a total of $200 million of notes due 2024 at a rate of 3.9%. This is significantly lower than the 5.25% convertible notes that matured in December, and we also reduced the rate on our SVCP credit facility by 25 basis points. Finally, in connection with our shareholders’ approval of an increase in our regulatory leverage limitation early in 2019, we reduced the management fee to 1% on assets financed with leverage greater than 1 to 1. We reduced the incentive fee rate to 17.5% and we reduced the hurdle rate to 7%, while maintaining our cumulative total return hurdle, which is one of the only such structures in the industry.Before moving on to our fourth quarter highlights, I would like to address the year-over-year decline in our net asset value. The write-off of our investment in Fidelis accounted for almost all of this decline. On our last 2 quarterly earnings calls, we described several company-specific challenges that Fidelis faced in the increasingly competitive cybersecurity industry. At the time of our initial underwriting more than 4 years ago, Fidelis is operating in a high-growth industry with the strong client base.The company was well capitalized with a low loan-to-value. However, the owners and management team failed to sufficiently react to the shift in industry dynamics that accelerated in the last several years. Utilizing our extensive turnaround experience, our team worked alongside the sponsor and the management team to try to resolve these issues, but ultimately, decided to exit rather than to invest further in the company.We are not satisfied with this result, but believe the challenges faced by Fidelis were distinct and are not indicative of any broader macroeconomic issues or other trends.Moving to a few highlights from the quarter. As shown on Slide 6, we earned net investment income of $0.38 per share, outearning our dividend by $0.02. And today, we declared a first quarter dividend of $0.36 per share payable on March 31 to shareholders of record as of March 17.Additionally, we delivered another strong quarter of deployments, totaling $142 million. Dispositions in the quarter were $152 million. Turning to Slide 7 of the presentation, at year-end, our portfolio had a fair market value of $1.6 billion, 92% of which was in senior secured debt. In constructing our portfolio, we have consistently focused on seniority as well as diversification.As of December 31, our largest position represented only 4% of the portfolio, and taken together, our 5 largest positions represented less than 17% of the portfolio. Furthermore, as the chart on the left side of Slide 7 illustrates, our recurring income is distributed across a diverse set of portfolio companies.We are not reliant on income from any one portfolio company. In fact, on an individual company basis, well over half of our portfolio companies each contribute less than 1% to our recurring income. Our portfolio continues to be predominantly floating rate with an emphasis on first lien exposure. At yearend, 92% of our debt investments were floating rate and 81% consists of first lien exposure, as demonstrated on Slide 8.I would now like to take a minute to provide more detail on our investment approach, which has remained consistent throughout our team’s 2 decades of investing in middle-market companies. We continue to leverage our deep industry knowledge and experience in addition to the expanded access to deal flow and additional resources of the broader BlackRock platform to identify attractive investment opportunities.To this point, deployment activity in the fourth quarter included 10 new loans, 4 of which were with existing borrowers. Follow-on investments in existing portfolio companies continue to be an important source of investment opportunities. In 2019, nearly half of our new investments came from existing borrowers.From a portfolio risk management perspective, these are credits we know and understand well. We believe these opportunities reflect the strength of our borrower relationships and the value we deliver to them beyond just capital. We also continue to focus on investments where we lead our co-lead negotiations, which allow us to set deal terms with solid creditor protections.Our investments in the fourth quarter demonstrate our unique access to deal flow as well as our ability to drive terms in the investments we underwrite. Our largest investment in the quarter was a $19 million senior secured first lien term loan to Barri Financial Group. Barri presented a compelling investment opportunity. The company has a 35-year operating history as a leading provider of diversified consumer financial services to the rapidly growing and often underserved Hispanic community.We led a group of 3 lenders, allowing us to negotiate deal terms and loan documents to include creditor protections, taking into account the diversified nature of the business. We also provided a significant follow-on investment with a $14 million senior secured first lien term loan to Snow Software, increasing our total loan size to $29 million. The company is the largest dedicated developer of software asset management solutions.Snow Software helps companies optimize the significant dollars they invest in enterprise software applications. We originally provided Snow with a first lien term loan in February 2019. Since that time, the company has significantly outperformed relative to budget and our underwriting assumptions. The incremental financing we provided in the fourth quarter will support Snow Software’s inorganic growth strategy. Overall investments in the fourth quarter demonstrate our emphasis on building a diverse portfolio with exposure to a variety of industries and our disciplined approach to underwriting.Our 2 decades of experience through multiple cycles reminds us of the importance of investing in companies and industries that can perform consistently throughout economic cycles. Dispositions in the quarter totaled $152 million that includes the payoff of our $29 million loan to KPC Healthcare, our $26 million loan to Bond International Software and our $19million loan to Tradeshift.New investments during the quarter had a weighted average effective yield of 9.6%. Investments we exited had a weighted average effective yield of 11.4%, as several higher-yielding positions were either repaid or reduced. The overall effective yield on our debt portfolio at quarter end was 10.3% compared to 10.6% at the end of last quarter, primarily as a result of the decline in LIBOR. Our portfolio is not immune to downward pressure on yields resulting from the decline in LIBOR. However, we remain focused on evaluating each investment on its own unique merits and selecting appropriately priced credits that produce strong risk-adjusted returns for our shareholders.As shown on Slides 9 and 10, respectively, we’ve returned in excess of $11 per share in dividends and outperformed the Wells Fargo BDC Index by 23% since our IPO.Now I will turn the call over to Paul, who will discuss our financial results.
Paul Davis: Thanks, Howard, and hello, everyone. Starting on Slide 17, the net investment income for the fourth quarter was $0.38 per share, exceeding our dividend of $0.36 per share. On an annual basis, net investment income was $1.61, substantially out-earning our dividends for the year. This extends our nearly 8-year record of covering our regular dividend every quarter since we went public. Over this period on a cumulative basis, we’ve out-earned our dividends by an aggregate $44 million or $0.76 per share based on total shares outstanding at year-end.Investment income for the fourth quarter was $0.81 per share substantially all of which was interest income. This includes recurring cash interest of $0.68, recurring discount and fee amortization of $0.04 and PIK income of $0.045. We also generated $0.04 per share from prepayment income, including both prepayment fees and unamortized OID and $0.01 from dividend income. Our income recognition follows our conservative policy of generally amortizing upfront economics over the life of an investment rather than recognizing all of it at the time the investment is made.Operating expenses for the fourth quarter were $0.43 per share and included incentive compensation of $0.08 per share as well as interest and other debt expenses of $0.21 per share for net investment income of $0.38 per share. Incentive compensation during the fourth quarter reflects the reduction in our incentive fee rate from 20% to 17.5% that took effect on February 9, 2019.The net decrease in net assets of $1.2 million or $0.02 per share was primarily driven by the disposition of Fidelis as Howard discussed earlier. Our net asset value benefited during the quarter from $7.8 million in gains in interest from Edmentum, offset by a $9.7 million markdown on Securus net of interest income. Securus is a leading provider of communication services to correctional facilities and our loan traded down during the quarter as prison service providers were subject to recent political and regulatory scrutiny. However, our loan continues to be well covered and the company continues to perform strongly as it has done over the course of our 7-year investment.The gain on Edmentum results from the significant efforts of our team as we work with the company to manage through a number of challenges, leveraging our deep special situations investing expertise. We are pleased that these efforts are continuing to show improved results in the financial performance of the company, which has lifted the value of our debt and equity holdings. As of December 31, we had 2 loans – we had loans to 2 portfolio companies, AGY and Avanti on non-accrual. These loans represented 0.5 % of the portfolio at fair value and 0.9% at cost.Turning to Slide 16, we had total liquidity of $349million at quarter end. This included available leverage of $316 million, cash of $45 million and net pending settlements of $12 million. In 2019, we expanded our credit facility capacity by a net $100 million, reduced the interest rate on our SVCP facility by 25 basis points and extended the maturity of both facilities to May 2023. Our credit facility expansion earlier in the year gave us flexibility as we plan for the maturity of our 2019 convertible notes in December. Subsequently, we issued $200 million of unsecured 5-year notes at a favorable rate of 3.9%, including a $50 million follow-on issuance in November. The weighted average interest rate on our debt outstanding at December 31 was 3.8%.Our diverse leverage program now includes: 2 low cost credit facilities: one, convertible note issuance; two, straight unsecured note issuances and an SBA program. Outstanding draws on our $150 million SBA program remained at $138 million at December 121. We are also pleased that Fitch initiated coverage of TCPC at investment-grade rating in January of this year, as S&P also reaffirmed its rating at investment-grade. We now have an investment-grade rating from all 3 rating agencies – major rating agencies S&P, Moody’s and Fitch.Net regulatory leverage, which is net of SBIC debt cash and outstanding trades remains unchanged from September 30 at 0.96 times common equity, well within our 2 to 1 leverage limitation following shareholder approval of our increased leverage flexibility last year.I’ll now turn the call back over to Howard.
Howard Levkowitz: Thanks, Paul. I’ll conclude with the few comments in the market and our outlook for 2019 before opening the call to questions. U.S. economic indicators including employment and GDP growth support a cautiously optimistic growth outlook for the first half of 2020. However we think domestic political uncertainty including the pending 2020 presidential election could weigh on business investment decision-making and long-term capital expenditure planning. In addition, geopolitical volatility and other disruptions like the coronavirus continue to create uncertainty. While the economic outlook may be uncertain, our team is focused on delivering the results our shareholders have come to expect from TCPC.We remain highly disciplined in our underwriting, executing only a small number of the investment opportunities we review each quarter. We make investment decisions based on a comprehensive analysis of each company, its management team and strategy and relevant industry dynamics. Our investment committee evaluates each investment committee evaluates each investment and regularly monitors the financial performance of each of our holdings.From our perspective, where we are in the credit cycle matters less than the ability to select – selectively capture opportunities throughout the cycle. To that end, we draw upon our team’s 2 decades of experience and BlackRock’s vast resources to prudently identify opportunities that align with our selective investment approach, while providing our borrowers with financing solutions to help grow their business. We continue to source strong senior secured credit opportunities, which have historically outperformed equities, bonds and other unsecured debt through economic downturns. While underweight highly cyclical industries, we will also continue to maintain a broadly diverse portfolio.In closing, while 2019 presented challenges, we are cautiously optimistic about the operating environment, and we remain focused on generating strong risk-adjusted returns for our shareholders in the years ahead.And with that, operator, please open the line for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Chris Kotowski with Oppenheimer. Your line is open.
Chris Kotowski: Yeah, good afternoon. I just wanted to ask on Securus, is that – you noted the markdown – is that purely secondary market trading driven? Or was there any diminution in their debt service capability during the quarter?
Howard Levkowitz: It was based on trading levels. It’s a club deal, it’s illiquid and it coincided with some headlines from several politicians on the business model. We have financed the company for 7 years. There was a period under prior ownership. We re-upped under the last acquisition, where a similar thing happened. And the company wound up in court, and in fact, prevailed on its practices. But it’s come under a number of headlines from a couple of politicians.The company has made very clear that it is working to satisfy these concerns, and we believe that the company itself is running a critical business, in that it provides connections between prisoners and their families, mostly through public prisons and in contracts with a series of public prisons around the country.And in fact, last time it went through some scrutiny, the counterparties came out in support of the company.
Chris Kotowski: Okay, all right. And on Fidelis, that exit is complete there’s no prospect of any recovery on that, that chapter is closed, right?
Paul Davis: That’s exactly the words I was going to use. The chapter is closed. We view it as an unfortunate, but very isolated incident. And really, I think Howard covered most of the commentary in his opening remarks. But we just saw the option to take over the business and fund it further or to make the tough decision and move on, which is what we did. But your characterization is accurate.
Chris Kotowski: Okay. And then, I guess, just somewhat more big picture, Howard. You sounded a bit more cautionary on the economy for reasons that I can understand. And knowing that the coronavirus and all this is very recent, are any of your portfolio companies as far as you can tell, seeing change in economics or is it thus far just still primarily, the stock market is uncertain and the coronavirus headlines and that’s that what we all see?
Howard Levkowitz: Well said, Chris. To date, we are not aware of any portfolio companies that have been impacted. We noted that with caution, because we thought to not say something about it, given the market activity, the last couple of weeks would be remiss. And so, we did flag it, but we have built a portfolio that is mostly non-cyclical and is highly diverse, and has less international exposure. But if you have something that’s impacting the world’s second largest economy, we thought it was important to note that we could be impacted.
Chris Kotowski: Okay. All right, fair enough. That’s it for me. Thank you.
Howard Levkowitz: Thank you for your questions.
Operator: Thank you. Our next question comes from the line of Robert Dodd of Raymond James. Your line is open.
Robert Dodd: Thank you. Hi, guys. Just following up on the coronavirus, but, I mean, when I look at – obviously, you’re lending to U.S. businesses. But when I look at your third-largest industry segment, textiles and luxury goods, and obviously, China is the largest producer of textiles, and one of the fastest-growing markets for luxury goods. So while – do you have any expectations that indirectly that the supply chain could get disrupted and impact that segment, in particular?Obviously, I mean, there’s news out of China that on the smaller side, still only like 30% of small businesses are actually back at work. So is it just too early to tell or could you give us any more color about potential supply chain impact to your businesses?
Howard Levkowitz: Yeah, it’s a great question. With respect to our portfolio, the companies that fall into that category are primarily licensing businesses. So we are financing the licensors who are multichannel. The licenses are sold online through stores, through various other channels, very broad diversified companies. These include ABG, Kenneth Cole, PSEB which is Eddie Bauer, and Anne Klein. So these are a diversified series of licensor businesses.Now, their underlining products that the licensees sell are, of course, manufactured around the world and primarily in Asia for a lot of these products. And so, if there’s broad disruption, it’s reasonable to assume that they may be impacted. But to date, we have not heard anything. And many of these businesses have guarantees and minimum streams of revenue from a lot of their counterparties.So we had intentionally constructed this as a less cyclical, less retail sensitive part of the portfolio. We’ve talked about this on several occasions. As we’ve thought about the retail business. We really focused on doing two things the last few years. One is doing asset-backed deals, and that’s really what the Eddie Bauer is; and the other is doing license deals. So we have hard asset coverage on some of these and license stream coverage on the others.
Robert Dodd: Got it, got it. I appreciate it, every helpful, Howard. Thank you. On Fidelis, but not really Fidelis. Software is – obviously, has been a pretty decent between Internet software and various other components of software, it’s a pretty decent segment of your portfolio, which can – software, obviously, high margins, can be a great business so long as customer retention stays high. Fidelis, obviously, I think one of the precipitating causes, if I remember right. They lost a big customer. Is there – in the rest of your software book, are there any other of your software portfolio companies, which have relatively concentrated customer books that we should be aware of and that could represent risk?
Rajneesh Vig: Thanks. It’s Raj. I’ll take that. The answer is generally no. And to be honest, let’s – if we further distinguish Fidelis from the rest of the software book, we don’t – it’s a security software company versus a subscription or enterprise software company. And to your point, there’s a lot – we focus on retention. We focus on the value proposition of the business. And Fidelis is very different than that. It was a very different sales cycle, it’s a tougher sell. It’s more of a product sale with less recurring elements to it. And it’s in an area where when it’s working, to be honest, you don’t know what the value proposition is because it’s working, you’re not seeing security breaches. So it’s such a tougher – it’s high-value and a good segment but as a tougher credit profile if you will, which we learned along the way as the business was deteriorating.So I think coming back to your main question, the rest of it really is more predictable, high margin, high recurring contractual revenue streams and some of them are horizontal software, some of them are concentrated within a vertical. But I would not characterize any of them really as similar to Fidelis, both on the nature of the business and the concentration of the customers.
Robert Dodd: Got it. I appreciate that. One more if I can kind of on the accounting side. Obviously, the dividend this year, roughly $2.4 million. All of that came from 36th Street Capital partners according to the K. Obviously, the conventional lending JV, which is pretty small right now, but could grow to be a more material piece of your book. That had $982,000 in dividends, but they don’t show up in the dividend line. So can you tell us where that is on the income statement? And why it’s not included in the dividend line, given its distribution from LLC member units.
Paul Davis: It’s a look through. That one is a look through to the interest income. So we include it in the interest income section.
Robert Dodd: Got it. I appreciate it. Thank you.
Paul Davis: Sure.
Operator: Thank you. Our next question comes from the line of Fin O’Shea with Wells Fargo.
Finian O’Shea: Hi, good afternoon. Thank you for taking my question. Sorry to make you the BDC manager that has to provide all the coronavirus expertise this quarter. But the one that stood out to me, there were a couple last year was the airlines given that’s most of what we see as the immediate impact, I think, Mesa is mostly domestic from what I gather, but would it be fair to say, is that something that you’ve looked at with these developments post quarter as a potential pressure point there?
Howard Levkowitz: Yeah. Thanks for the question, and to you and the rest of you who have wished us good afternoon. It’s still morning here in Santa Monica. We’re very comfortable with the Mesa exposure. Mesa, as you point out, is a regional U.S. carrier, it s a feeder to the majors and so it doesn’t have the international exposure. Of course, the whole industry could be subject to a slowdown in travel, but these are asset-backed loans. We have engines. We have planes. These engines are substitutable collateral on regional jets, many of them. And we’re comfortable with our attachment points, and these planes are really necessary for the feeder system to function, which feeds the hubs, which are the backbone of the large U.S. legacy carriers. And so Mesa is a great partner. We’ve been financing them for many years. We’ve known senior management for over 2 decades. They do a great job running it. We also feel very comfortable with the underlying collateral values. And when we made these loans, the real focus of them was the hard assets themselves.
Finian O’Shea: Sure. I appreciate that. And just a follow-on portfolio question on AGY. I think that was your – another mark this quarter. Obviously, sort of a legacy name, the sub-debts on nonaccrual. Just wondering if – it looks like you’re treating sort of the sub as equity given that moves around a lot and your first lien is marked at par across income. So if that’s the case, this is at near-term maturity. Why continue to accrue taxable income on the second lien if it’s really underwater versus the current capital stack. And as a second part of the question. Is there any outlook there given the maturities later this year?
Howard Levkowitz: Yeah. Let me address the fundamentals of the business first. This is a good fundamental company. We’ve talked about that the last couple of quarters. What’s been disappointing is – and the top line is good. They make high-end glass-based composites that are used in sophisticated industrial, military and consumer uses. Their input costs have soared to record levels. They use some metals as a part of the manufacturing process, one of which is at a record high – we said that on our last call, it’s now up 50% higher than that. It’s 12 times where it was most of the last 8 years. This is not normal for commodity cycles. It’s really spiked up in an unusual way. And so that has been creating pressure on the company’s cash flow. And so that’s why you’ve seen some of this movement on what was a cash-paying instrument, which then went to pick and then ultimately on the nonaccrual.
Finian O’Shea: Okay. I appreciate that context. And thank you for taking my questions.
Howard Levkowitz: Thank you, Fin.
Operator: Thank you. Our next question comes from the line of Chris York with JMP Securities. Your line is open.
Christopher York: Yes. Good morning, guys, and thanks for taking my questions. So Howard or Raj, just wanted to talk about the managers for a moment. We’ve anecdotally heard a couple of investment professionals, be it for Tennenbaum or other direct lenders. So obviously, churn over does happen in this industry. But in light of the changes at the manager from the acquisition of BlackRock, we wanted to know if you think there are any cultural or operational changes at BlackRock TPC that could induce your employees [to seek employment elsewhere] [ph].
Howard Levkowitz: I’ll take that one. I think the shorter answer is no. I think we’ve had – you may not be able to see it as obviously, we’ve also had additions come on to the team, both internally from BlackRock and externally, and we expect to have more people because we’re – coming on, because we’re growing. I think we’ve always had some level of people in the business find other opportunities. I think the way I define – the way I look at it is, it’s – where are they going. And are they going for something that’s particularly interesting and a good place because of what they’ve been able to do here. And generally, that’s been the case. We’re proud of the things people have done when they moved on to something that just works better for them. But I don’t see any change or abnormal level of that. And rather, we’ve actually seen a lot of influx of interest of joining the team because of what we’ve been able to do standalone and what we’re actually, I think, in the early stages of doing as a combined platform, which is pretty exciting.
Christopher York: Okay. It’s good to hear. Maybe just a follow-up on that. So could you provide us any color on maybe the investment professionals you had at year-end versus what it was in the previous year?
Rajneesh Vig: I want to say it’s about the same. If not, a few more at the margin. But yes, I don’t have those exact numbers, but I’d say that…
Howard Levkowitz: We grew our total number of investment professionals and we have been growing over time. In connection with the acquisition by BlackRock, we increased the total number of investment professionals that we have, working across our private and public vehicles by almost 50%. And so we have a more significant and robust staff than we had. The average tenure of most of our senior people is well over a decade and the most senior ones, many of them have been here 15 years and a few of us 2 – over 20 years. So we have a lot of seniority and tenure in the business, and we’ve been growing the platform and just echo Raj’s prior comment. We’ve been pleased with the significant interest from people in coming to join us and are continuing to hire.
Rajneesh Vig: Yeah, Chris, if you’re looking to send your resume, and we’d love to take it if that’s the source of the question.
Christopher York: Yeah, thank you very much for that. Last one just on that topic is, I think it’s been maybe 18 months since the acquisition is closed. So what do you think has been the biggest benefit for shareholders today from the acquisition?
Howard Levkowitz: This is Howard. There are a series of benefits that we’ve gotten. And I think the biggest one is, as Tennenbaum Capital, we built a great niche brand in the market. But what is clear to us is that there are many borrowers and counterparties out there that embrace doing business with the world’s largest asset manager. They like our resources. They like our knowledge. They like knowing that there’s that kind of support and information and credibility if they wish to go public or do other things with their capital structure. And we found that to be very powerful. I will just add to that, we’re also working with a fantastic group of people across a large and talented organization.
Christopher York: Got it. And obviously, we know that you’ve reduced your cost of debt capital and then, obviously, the new investment-grade rating there. So I was just curious what you thought was the biggest benefit. And obviously, there are many benefits. So I would switch to my last question. I did notice that firstly in Juul heat down this quarter, it’s an interesting investment and I was a little bit surprised given that what I think it has originated in the summer.So was that paydown encouraged by you or was it simply a function of just cash flow and amortization?
Paul Davis: So, it’s a highly structured loan that has a serious of protections and features associated with it. And as has been public, Juul has raised significant junior capital recently and so we continue to have significant asset coverage. And so, they’ve been paying down the loan just as we contemplated.
Christopher York: Got it. That’s it for me. Thanks. And, Raj, you may have to brush up [that resume for you] [ph].
Rajneesh Vig: Thanks, Chris.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Christopher Nolan of Ladenburg Thalmann. Your line is open.
Christopher Nolan: Howard, turning to the election, if Sanders is the nominee and it’s become a close race, should we expect a slowdown in deal origination activity in the second-half of the year?
Howard Levkowitz: It’s a good question. We talked about that in our earlier comments. If you think about the last election that we had in 2018, there was a lot of ranker around it. And I think there were a number of people that felt that that election caused angst and slowed down business activity. And clearly, a presidential election along side of congressional local elections is going to be far more impactful than that. And so, we think that regardless of who’s on the ticket, the discrepancies between the different agendas of the parties and the rhetoric coming out of some of the candidates and the enunciation of very different policies is likely to give some businesses pause.Our portfolio is less heavily weighted to capital expenditures and long-term projects. This is intentional. It’s part of a reorientation we’ve been going through for the last 3 or 4 years, sort of preparing for a change in the economy or an economic slowdown. But that doesn’t mean we’re immune, and clearly, a lot of the companies we have in there still have big ticket items. But they’re probably less susceptible than a more CapEx-heavy portfolio.
Christopher Nolan: Thank you. And also as a follow-up, another corona question, how is the discussion of corona and the possibility of a pandemic driving your negotiations in new investments? How’s it affecting terms and – or just the overall conversation?
Howard Levkowitz: Obviously, this is very new. BlackRock has vast resources, including offices in a number of the more impacted countries. And so, our data flow and data sources are probably more expanded than many. And so, we’re trying to balance, obviously first and foremost, concerns for people’s safety, but also an appropriate caution about things that could happen in companies.I think most people are trying to go about business as normal under the assumption that this will pass and that life will resume normalcy, and it certainly is normal for many businesses, particularly in the U.S. But in the real recent term, you can see a backing off in the traded markets and a little bit more caution, and whether that will spill into our markets, which are more negotiated and tend to move a little bit more slowly, remains to be seen.But I would say the lender/borrower dynamic the last few weeks, it’s probably on the margin, tilted a little bit more in favor of the lenders and some of the deals we’ve been working on as some people on the borrower side are probably more interested in getting things done quickly with a trusted counterparty that they know will get across the line instead of taking capital markets risk.
Christopher Nolan: Got it. Okay. Thank you.
Howard Levkowitz: Thanks for the question.
Operator: Thanks. I’m not showing any further questions. I would now like to turn the call back over to Howard Levkowitz for closing remarks.
Howard Levkowitz: We appreciate your questions and our dialogue today. I’d like to thank all of our shareholders for your confidence and your continued support; and our experienced and talented team of professionals at BlackRock TCP Capital Corp. for your continued hard work and dedication. Thanks again for joining us. This concludes today’s call.
Operator: Ladies and gentlemen, this concludes today’s conference. Thank you for participating. You may now disconnect. Everyone have a wonderful day.